Company Representatives: Mark Eubanks - Chief Executive Officer Kurt McMaken - Chief Financial Officer Ron Domanico - Former CFO, President of Brink's Capital & Sustainability Ed Cunningham - Vice President of Investor Relations
 - : George Tong - Goldman Sachs
Operator: Welcome to the Brinks Company, Third Quarter 2022 Earning Conference Call. Brinks issued a press release on third quarter results this morning. The company also filed an 8-K that includes the release and the slides that will be used in today's call. For those of you listening by phone the release and the slides are available in the Investor Relations section of the company's website www.brinks.com. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Now, for the company's Safe Harbor statement. This call and the Q&A session will contain forward-looking statements. Actual results could differ materially from the projected or estimated results. Information regarding factors that could cause such differences is available in today's press release and in the company's most recent SEC filings.  Information presented and discussed in this call is representative as of today only. Brinks assumes no obligation to update any forward looking statements. This call is copyrighted and may not be used without written permission from Brinks. It is now my pleasure to introduce your host Ed Cunningham, Vice President of Investor Relations. Mr. Cunningham you may begin.
Ed Cunningham: Thanks Andrea and good morning everyone. Joining me today are CEO, Mark Eubanks and CFO, Kurt McMaken. Also joining the call is Ron Domanico, former CFO and current President of Brink's Capital and Sustainability.  This morning we reported third quarter results on both the GAAP and non-GAAP basis. The non-GAAP results excluded a number of items including the impact of Argentina's highly inflationary accounting, reorganization and restructuring costs, items related to acquisitions and dispositions, cost related to frozen retirement plans. Charges related to an antitrust matter in Chile, valuation allowance on tax credits is in certain allowance estimates. We're also providing our results on a constant currency basis which eliminates changes in foreign currency exchange rates from the prior year. We believe the non-GAAP results make it easier for investors to assess operating performance between periods. Accordingly, our comments today will focus primarily on the non-GAAP results. Reconciliations are provided in the press release in the appendix of the slides we're using today and in this morning's 8-K filing, all of which can be found on our website. I'll now turn the call over to Mark.
Mark Eubanks: Thanks Ed. Good morning, everyone, and thanks for joining the call today. This morning we reported strong third quarter results, including double digit organic growth in revenue, operating profit, adjusted EBITDA and EPS.  We achieved these results in a macro environment that continues to be challenging, demonstrating the resiliency of our business. We remain on track to achieve the mid-point of our full year guidance for adjusted EBITDA and earnings per share of approximately $775 million and $5.75 respectively. Full year revenue and operating profit are now expected to be at the low end of the prior range, due primarily to the impact of foreign exchange translation.  Our guidance includes full year organic revenue of about 12% and strong double digit growth in operating profit, EBITDA and EPS, reflecting approximately 100 basis points of margin expansion driven by our organic growth, lean cost initiatives and leverage from the lower fixed cost base.  Through the first nine months of 2022 we achieved 8% revenue growth, 15% operating profit growth, a 14% increase in adjusted EBITDA and EPS growth of 23%. We delivered these results despite a slower than expected start to the year due to the Omicron related shutdowns around the world, a war in Europe and an aggressive global monetary tightening trend, all of which have led to extreme movements in FX as the U.S. dollar continues to strengthen. We expect the operational momentum in both organic growth and profit expansion to continue through the fourth quarter, which has historically been our strongest quarter.  It’s important to note that our 2022 guidance does not include any contribution from a recent acquisition of Note Machine, which we expect to be accretive to our results starting in the fourth quarter of this year of approximately $0.04 per share. In addition to the positive impact of the Note Machine acquisition, we will continue to be very proactive in taking steps to optimize our operating model. Not only to drive organic profit growth, but also to mitigate the potential impact of a sustained economic slowdown in 2023.  To that end, we are announcing a global restructuring plan that's expected to yield $40 million of savings in 2023 as a result of sustainable fixed cost reductions across the business. We continue to pursue additional opportunities to reduce costs, streamline our operations and optimize our business model. We expect a strong finish in 2022 to lead to an even stronger performance in 2023. Our recent share purchases reflect our confidence that we will continue to deliver strong growth in revenue, profits and free cash flow. We look forward to providing our guidance in 2023 when we report our fourth quarter result in February of next year.  I'd like to take this time to thank our more than 70,000 associates around the world who have been the driving force for the acceleration of our strategy, by relentlessly serving our customers and executing our business improvement imperatives related to safety, quality, cost efficiency all across our global footprint.  Next slide. This slide provides a brief update on the progress we're making with our tech-enabled solutions, which we formerly referred to as Strategy 2.0. The solutions are the basis for our two technology service platforms: Digital Retail Solutions or DRS and ATM Managed Services referred to AMS.  Our Digital Retail Solutions, which include Brink Complete and other similar global service offerings such as compute CompuSafe grew organically by more than 20% during the first nine months of the year. We continue to evolve our service offerings to satisfy specific local marketing customer needs and we're seeing growing customer acceptance across all regions.  Our Digital Retail Solutions aim to make cash as easy to use as Debit Cards, Credit Cards and other digital payments and allow our retailers to create full value stream visibility for all payment methods, especially cash. These higher margin solutions enable us to offer enhanced services to our current customers, as well as what we believe is a very large addressable market of unvented and underserved retailers around the world who currently do not have a cash management solution.  Our ATM Management Services offering provides a flexible turnkey solution that enables financial institutions and retailers to outsource their entire ATM estate to Brink's, thereby maximizing their ATM network performance and freeing up more resources for their core business.  Year-to-date our AMS business has grown organically by more than 50% over last year. We've been actively growing our AMS business both organically and inorganically across all geographic segments. The biggest driver of our year-to-date organic growth is the successful execution of our agreement to provide end-to-end ATM services for BPCE, the second largest bank group in France.  Our recent acquisition of Note Machine has further added to our AMS footprint and we're well positioned to leverage Note Machines expertise and infrastructure to accelerate AMS growth in Europe and around the world. Our confidence in our AMS growth strategy is further supported by a strong pipeline of additional organic ATM outsourcing opportunities in all four of our geographic segments.  On to slide five. Here we provide two examples of how we're better serving customers through tech-enabled solutions of DRS and AMS. On the top of the slide we're highlighting the success of our BPCE relationship. This is the largest Tier 1 financial institution outsourcing award that we're aware of, and our team in France has really stepped up to implement this ground-breaking partnership.  BPCE is outsourcing their entire network of more than 10,000 ATMs to Brink's and we expect the deployment to be fully complete by the end of this year. We expect to generate annual revenue of about €50 million over the course of this 10 year contract. This is not only an opportunity to provide a valuable service to a major customer; it's also an opportunity to leverage our infrastructure and internal expertise to become the global partner of choice for future ATM outsourcing customers. Another customer deployment that’s underway involves a major multinational retailer who has selected one of our DRS Solutions as their POS integration solution. We developed a proprietary self-checkout device that uses our software to integrate with the retailers existing POS system, allowing consumers to seamlessly use any payment method; cash, coin or card. Our device also has recycling functions that not only improves productivity, but also provides additional features to enhance customer service and the retailers’ visibility to their cash ecosystem. We expect to deploy the initial 400 units in 2023 and this comes with a five year recurring revenue contract.  The next slide. Here is our most recent acquisition. While we have strong focus on organic growth, we're also looking for ways to accelerate and build capability through acquisitions. Earlier this month, on October 3 we acquired Note Machine, one of the leading ATM networks in the United Kingdom for approximately $179 million or 5x the adjusted EBITDA.  Note Machine brings a strong team of ATM managed services experts, and a global technology infrastructure that will allow us to more effectively capitalize on the ATM outsourcing trends in Europe and around the world. For the fiscal year ended June 30, 2022, Note Machine generated revenue of approximately $131 million and adjusted EBITDA of approximately $36 million. This acquisition is expected to add approximately $5 million of operating profit and $0.04 per share to the fourth quarter earnings of this year. The Note Machine acquisition builds on our organic growth initiatives and is an important step in the execution of our long term strategy to grow our ATM Managed Services business.  This next slide highlights our global restructuring efforts. As I mentioned earlier, we're taking actions across our global footprint to enable growth and mitigate the potential impact of a recession. Our main focus is on realigning and reducing our headcount, streamline our infrastructure and operating footprint and shifting our business mix to more profitable offerings such as ATM Managed Services and Digital Retail Solutions, all are in accordance with our long term growth strategy. We expect our one-time restructuring cost to be approximately $30 million, about $18 million of which was recognized in the third quarter. When completed, the current restructuring actions are expected to drive annualized savings of approximately $40 million, all of which are expected to flow through our results in 2023. The next slide. I want to remind everyone about our history of steady performance and organic revenue growth across economic cycles. This graph shows our annual organic revenue growth over the last 16 years, starting with the Great Recession of 2008 and 2009 when many companies were down 10%, 20%, 30% or more. Brink’s organic revenue growth was basically flat in 2009 or down less than 1%. We recovered quickly back to 4% in 2010 and then returned to 7% growth in 2011 and remained in the mid-single digit range throughout the next decade.  Then came another crisis, a global pandemic. Even during the height of the pandemic, when organic revenue initially contracted by 7%, we recovered the 5% growth in 2021 and we are up 12% so far in 2022.  Looking back over the past four years, across a global pandemic, our average organic revenue growth has been about 5%. It's important to note that even during recessions and other times of crisis, when some retailers are taking in less cash, our services are still needed to transport and protect cash that they are bringing in.  For example, the customers’ cash volumes are down 10% or 20%, they still need our services for the remaining 80% to 90% of their cash. And our AMS business is equally resilient, since our networks serve as key distribution points of cash for daily commerce. In other words, Brinks is an essential provider of services throughout all business cycles.  Now, let's turn to the third quarter results, slide nine. This slide summarizes the strong revenue growth and profit growth that we achieved in the third quarter. Revenue was up 6% and organic growth up 13%, driven by double digit organic growth in North America, Latin America and our rest of the world segment. Organic growth in Europe was about 8%.  Operating profit was up 9% with organic profit growth of 22% and acquisition related growth of 1%, partially offset by a 14% negative impact from FX translation, primarily due to the Argentine Peso and the Euro. This profit growth was driven by strong year-over-year margin expansion, especially in North America and our rest of world segment.  Adjusted EBITDA was up 11% and up 22% in constant currency, with a margin of 16.6%, up 80 basis points over last year. Third quarter EPS was up 18% over the year ago quarter, which included a $0.03 per share gain from the sale of our position in NGI. Excluding this gain, EPS was up 21% for the quarter. I'll now turn the call over to Ron Domanico, who has been a driving force for Brinks success in the past seven years. I want to thank him for his contributions to both Brinks and to me personally for his help in the last year since I've been here. Ron. 
Ron Domanico: Thanks Mark. As I'm approaching my planned retirement, it's been my honor and privilege to work with you and to onboard my successor. Kurt McMaken joined as Brinks CFO in August and has hit the ground running. As I've been transferring my institutional knowledge, our experienced team of professionals continue to provide exceptional support. While this is my final earnings call, I'll retain a significant investment in Brinks, knowing that the company is in great hands. Kurt.
Kurt McMaken: Thanks Ron. It's been great to work with you on this transition and thank you for all you've done for Brinks. Good morning, everyone! Let's move to slide 10, which provides more details on our Q3 revenue and operating profit versus the prior year.  As Mark mentioned, revenue versus the prior year was up 14% on a constant currency basis, almost entirely from organic growth of 13%. Our organic growth benefited from price increases, further implementation of our AMS rollout in France and strong Brink's global services volumes. Foreign exchange translation was a headwind of 8% versus the prior year, driven primarily by the Euro and Argentine Peso. The reported revenue was $1.1 billion, up $61 million or 6% versus the third quarter last year.  Next, turning to operating profit, which in constant currency was up 23% versus last year. Organic growth was 22%. Acquisitions added another 1% and 4x was a 14% headwind, resulting in reported operating profit of $127 million and an 11.2% operating margin, which was 40 basis points above last year and 30 basis points higher sequentially.  Our organic operating profit growth was primarily driven by revenue growth and was partially offset by an increase in security losses, including the previously discussed $10 million related to the jewelry robbery in Los Angeles and expenses related to variable compensation. I think it's interesting to note that this is our fourth consecutive quarter of double digit constant currency growth in revenue and profit, and the second consecutive quarter of double digit organic growth and revenue and profit. Now, let's turn slide 11. Starting with our operating profit and walking left to right, third quarter interest expense was $34 million, up $7 million versus the same period last year, primarily due to higher interest rates and to a lesser extent higher levels of debt.  Next, tax expense was $32 million, up only $1 million versus last year as higher income was mostly offset by a reduction in our effective tax rate. Our full year effective tax rate forecast was lowered by 40 basis points to 32.1%, which is 150 basis points lower than the full year 2021 rate. Then doing the math, $127 million of operating profit plus interest expense, taxes and $3 million in non-controlling interest and other, which includes higher interest income on held cash generated $64 million of income from continuing operations, up $7 million over last year.  That then leads us to third quarter adjusted EBITDA of $189 million, up $19 million or 11% versus last year, primarily due to the higher operating profit and non-cash variable compensation and as Mark mentioned, EBITDA as a percentage of revenue was 16.6%, up 80 basis points versus Q3 of last year.  Finally, a note on our shares and EPS. As Mark noted earlier, we generated $1.34 t of earnings per share, up 18% versus last year on a reported basis. Share repurchases reduced our weighted average diluted shares outstanding by about 2.8 million shares versus last year or about 5%, and accounted for about a $0.05 increase in EPS. Our lower effective tax rate provided about $0.03 versus last year. Next, we’ll turn to free cash flow on slide 12. Our 2022 full year free cash flow target has been adjusted from last quarter for several items that I will discuss in a few moments, but first let me explain this chart. The solid gray bars on this chart reflect our prior target, while the shady gray areas reflect the changes to that target. Variances at the bottom of the chart reflect the changes from last year and from our previous targets.  Starting on the far left, adjusted EBITDA is expected to be approximately $775 million, around the midpoint of our prior guidance and about $92 million than the prior year. We now expect to use about $95 million of cash for restructuring and working capital, an increase of $25 million over our prior target of $70 million. This change is primarily due to our new restructuring plan. As Mark reviewed, we see this as an attractive investment given the favorable economics associated with the plan.  We've also included some risk for the change to Mexico invoicing regulations that we discussed last quarter that has temporarily increased our accounts receivable. Our teams have been working diligently on this item and we are seeing progress with our Mexican DSO improving month-over-month; however, it is taking longer than we originally anticipated. We see this as a timing matter at this point and expect to return to historical DSO levels in Q1 of next year.  Cash taxes are estimated to be about $120 million, up $10 million from our prior guidance due to changes in earnings and tax regulations. Cash interest is expected to be around $125 million, also an increase of $10 million versus our prior target and $19 million higher than last year, primarily due to higher variable interest rates and higher debt levels. We'll see on the next slide that we are still well below our debt covenant levels.  Net cash CapEx is targeted at $180 million, which brings us to a free cash flow target of approximately $255 million and a conversion of about 33% of adjusted EBITDA. We see the $25 million change to our midpoint in the restructuring and working capital comp as more one-time in nature or a matter of timing, to be resolved next year. If you adjust our full year target by the $25 million that would yield a 36% free cash flow to EBITDA ratio, in line with last year. Note that we have returned $45 million to shareholders from our recent share repurchases, which we see as a positive for our shareholders and has been a contributor to our higher interest expense.  Next, we will look at net debt and leverage on slide 13. This slide illustrates our net debt and financial leverage at the end of 2021 and the first nine months of 2022, as well as our estimate for the end of 2022. Our higher level of net debt is primarily due to funding our share repurchases, offset by $67 million in proceeds from our hedge monetization, which was disclosed in the last quarter.  As we look at leverage, dividing our estimated year end 2022 net debt by the midpoint of our expected EBITDA range, yields a net debt leverage ratio of 3.2x. Our leverage phase pro forma adjusted EBITDA, including a full year of Note Machine should be approximately 3x. Note that our credit facility has a covenant based on net secured leverage, with a ratio maximum of 3.5x. We are well below this maximum level, with our expected 2022 secured leverage ratio of 1.9x. With this result, we maintain room for disciplined M&A or other capital allocation opportunities.  Next to slide14. To summarize, we've delivered another strong quarter and remain on track to deliver strong full year results. The full year guidance provided at the beginning of the year was based on FX rates at the end of last year, including the projected argentine peso devaluation. Since then, we've seen significant strengthening of the U.S. dollar, especially against the Euro.  Based on current rates, we expect to see continued FX headwinds as we approach year end and as a result, we've updated our guidance to reflect the impact of FX translation in the second half of this year. Despite these significant FX headwinds, our EBITDA and EPS guidance remains at the midpoint of our guidance range. However, we now expect revenue and operating profit to come in at the low end of the range, again based on negative FX translation, resulting from a strengthening U.S. dollar. Our 2022 organic revenue and profit growth targets are still intact, and we expect to be able to achieve strong growth and margin expansion despite FX headwinds of $265 million on revenue and $51 million on profit versus the prior year.  For additional perspective, it's also important to remember that the three year targets we provided last December are driven primarily by organic growth and continued operational improvements in our core business, which accounts for approximately 90% of our 2024 target revenue and 85% of our operating profit target. Conversely, our new ATM Managed Services and Digital Retail Solutions combined to account for about 10% of our 2024 target and 15% of our operating profit target.  We are still on track to deliver our 2024 financial targets which were disclosed on a constant currency basis last December. As I mentioned earlier, we intend to provide 2023 guidance when we release fourth quarter results next February. We expect our financial framework to remain intact with mid to high single digit organic revenue growth and 100 basis points of margin improvement annually.  Given our strong performance thus far in 2022, the resilience of our business and challenging environment, the ongoing reopening of global economies, along with our growth and productivity initiatives, I'm optimistic about our future performance.  And with that, let's turn to questions. 
Operator: [Operator Instructions]. And our first question will come from Tobey Sommer of Truist Securities. Please go ahead. 
Jasper Bibb : Hey, good morning! This is Jasper Bibb on for Tobey. My first question was just on the revenue guidance. Beyond FX what factors would you say came in above or below your expectations for the second half and also could you quantify how much of revenue you expect Note Machines to add in the fourth quarter? 
Mark Eubanks : Sure Toby. Good morning! It’s Mark. I’ll…
Jasper Bibb: Jasper.
Mark Eubanks: Jasper, sorry. Good morning. We – relative to the guide we really are only seeing sort of volumes soft this year really in FX. I think there are some pockets of strength in the business and back and forth and I'd say the global services business in Asia continued to perform in the quarter in particular as more and more metals and bank notes continue to move around the world, but nothing really fundamental for us underlying in the business of seeing that weakness.  I think that you can see the organic growth in the single digits in Europe, which was not double like everywhere else, but all-in-all fundamentally I think our growth model organically is still intact. This is really just an FX issue that we see coming out of the quarter and as rates moved from our last call, you know or end of last quarter to into this quarter and that's what we're projecting forward into Q4. 
Jasper Bibb : Thanks. And then I was just hoping you could update us on your ‘24 margin targets with the context of what you're seeing in labor cost inflation, and also I guess the restructuring initiatives you announced this morning. 
Mark Eubanks : Sure. You know I think our pricing and cost relative inflation posture will remain the same, not only in the year, but across the strategic planned period into ’24. We expect to continue to match those and drive productivity, but also put those through the market relative to pricing.  The restructuring, you know we'll continue to do when we see fit given the market outlook, but our framework is intact. As we mentioned earlier this morning, 100 basis points a year mid to high single digit organic growth is still our expectation and we feel good about it.  I think there is from a restructuring perspective, you know part of it could be market specific restructuring down the road depending on what happens in local economies, but I think it's more about realigning our cost structure. As we begin to shift our business mix to higher margin services, whether that's in our Digital Retail Solutions or our ATM Managed Services, those are the areas we want to invest more in and free up cost in the rest of our business, particularly as we're driving a more efficient business model that allows us to do that with our core infrastructure.
Kurt McMaken : Jasper, this is Kurt McMaken. I think you asked about Note Machine revenues in the fourth question in your original question. I think maybe the way to think about that is, if you take the Note Machine revenue that we disclosed of $131 million and divide it by four, that will give you directionally where you need to be for the fourth quarter. 
Jasper Bibb : Okay, got it. And then following up on AMS, you know up 50% organically this year is pretty impressive. Could you maybe contrast for us why you think your business is doing so well there while it seems like some of the ATM hardware companies in the same market have really struggled this year? 
Mark Eubanks : Sure, it’s a – maybe there's one common word in there which is ATM, but they are definitely different business models. From our perspective, you know the ATM companies that you referenced are largely seeing I think issues on the manufacturing side, best I can see from the outside and this has to do with not only global supply chain, but inflation as well. So I think that's a separate issue from what we're seeing on the managed services side.  I think you know the 50% organic growth for us, while it's a big number and it feels really good, this is really several, singles and doubles along the way in our base business, whether it's PAI or the rest of our global footprint, but it's also a big step up as we're bringing on the BPCE network that we previously announced in prior year. But we're now bringing all that on and expect to have that implemented, kind of on full run rate by year end. 
Jasper Bibb : Last one for me, would you say the current macro uncertainty is impacting your customers behavior at all at this point? And then do you think that macro might be also influencing your ability to sell new equip counts on the Brinks complete year end solution.
Mark Eubanks: Sure. I don't know that there's been a big shift due to the macro environment. Listen, I think people are definitely getting pressured with inflation and with currency devaluations in markets, particularly outside of the U.S., but I think this is still a function of, as I mentioned, regardless of sort of where the economy – if the economy is down 5% or 10%, you know there’s still 80%, 90% or you know 90%, 95% of the money still has to be picked up and still cared for and processed.  I will say though that you know as people, particularly retailers are focused on streamlining their business, and by the way, this varies from retailer-to-retailer depending on how they did with inventory forecasting through the pandemic, you know some retailers are playing offense, but certainly I think some are certainly batting down the hatches to make sure they got their cost structure in line, have their store footprint in line, which might create some apprehension.  I think the sales cycle on any solution that is different or replacing a long standing service, you know has a long gestation period, particularly when you think about pilot programs and getting you know sort of through the pipeline. But you know we don't see any real aversion to listening and/or piloting. And in fact I'd say on both, DRS, but even more so on the AMS side, or the ATM Managed Services side.  We're continuing to see pilots all over the world and this is not just aggregating around PAI or only around BPCE, although we're seeing opportunities in those markets. We're seeing them in markets where we are a trusted adviser let's say for our banking partners, that have allowed us to have the opportunity to move upstream you know in the ATM Managed Services side and we think this is a real opportunity going forward. 
Jasper Bibb : Okay, I appreciate the detail there. Thanks for taking the questions guys.
Operator: The next question comes from George Tong of Goldman Sachs. Please go ahead. 
George Tong: Hi! Thanks. Good morning. 
Mark Eubanks : Good morning, George. 
George Tong: On slide eight you provided – hi. On slide eight you provided a history of how Brink's responded to various economic cycles. As you look at prior performance leading into or heading into a recession, what are some of the indicators or responses that you would typically see from a customer in the event of a pullback, and how quickly would those signs of a slowdown show up in the business? 
Mark Eubanks : You know, I’d like to say that there is notes processed or how many stops, but in fact that really probably isn't a great lean indicator, because for instance you know in the pandemic our volumes actually went up as we nosed into, you know into the middle of 2020, just given the fact that banks and central banks wanted to make sure there was cash available in the marketplace for consumers, and so we wouldn't necessarily see that.  I think what we would see George would be customers either canceling locations, closing down stores, especially you know larger national accounts that have multiple stores if you start to see store closures or less frequency, you know maybe of staffs, if we're servicing customers three, four, five times a week if maybe they pulled back. It's not something we've seen yet. In fact we're continuing to see sort of an expansion of that, but for us our answer and as we think through any potential situation, first of all we want to look at – we’ve looked at our cost structures we announced to restructuring, to you know get ready for something that might happen just in case.  But also you know shifting to Brink's Complete and you know our tech-enabled solutions, particularly in the traditional CIT Money Processing Business is a benefit for us and we have the opportunity create benefits for customers relative to allowing them to reach maybe a better price point down the road. 
George Tong: Great, that’s helpful. And then as we think about your pricing power in the current inflationary environment, how would you compare it to historical trends? Has your pricing picked up commensurate with inflation and how does your organic revenue growth split between volume and pricing? 
Mark Eubanks : Sure. I’d say pricing is – the pricing environment has been I'd say consistent George in the last, certainly since I've been here, but I’d say you know even in prior times. You know Ron can speak to that if we need to. But I would say that this inflationary environment has certainly touched all industries, including our customers, and I think this is where the conversation with customers is one that is – well, no one wants to see increased costs. I think they also clearly understand, because they are seeing it in the same place, you know inside their own four walls.  The other side of that though is, you know we've got a responsibility to also drive use productivity as our lever and mix to drive profitability and deliver our commitment to our shareholders and not just put that on the backs of customers. That's not what we're doing and not what we've intended to do.  I'd say the environment itself has been – you know globally has been consistent relative to moving inflation through. I think in some markets like Europe, we tend to see a lag in inflation to price realization. It could be a quarter or two and we have seen that, but I'd say that no difference in sort of the pricing posture.  On the other side, you have to – it’s sort of about the volume versus price. We've said this, you know historically it's been about 50/50. It's largely in that similar range and maybe it's in some markets, particularly in North America we've seen that move, you know not quite to 60/40, but closer to that, you know towards that, but we really haven't seen a big shift there to be perfectly honest. 
George Tong: Very helpful. Thank you. 
Mark Eubanks : Great.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mark Eubanks for any closing remarks. 
Mark Eubanks : Thanks Andrea and thanks everyone. We appreciate the questions and certainly appreciate your support. I look forward to speaking to you next quarter. Thank you. 
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.